Operator: Good day, ladies and gentlemen, and welcome to the first-quarter 2008 Boston Beer Company earnings conference call. My name is Alicia, and I'll be your coordinator for today. At this time, all participants are in a listen-only mode. We'll facilitate a question-and-answer session towards the end of this conference. (Operator instructions) I'd now like to turn the presentation over to the host for today's call, Founder and Chairman of Boston Beer Company, Mr. Jim Koch. Please proceed, sir.
Jim Koch: Thank you. Good afternoon and welcome everyone. This is Jim Koch, Founder and Chairman, and I'm pleased to be here to kickoff the 2008 first-quarter earnings call for the Boston Beer Company. Joining the call from Boston Beer are Martin Roper, our CEO and Bill Urich, our CFO. I'll begin my remarks this afternoon with a few comments on where we stand competitively and then pass the microphone on to Martin who will provide an overview of our business. Martin will then turn the call over to Bill, who will provide financial details for the quarter and our 2008 outlook. Immediately following Bill's comments, we will open the line up for questions. We achieved 12% depletion growth in the first quarter over a very strong first quarter last year. We feel good about this growth and the continued overall positive craft beer category trends, even as the whole category has raised prices in the face of significant cost pressures. This was our ninth successive quarter of double-digit depletion increases, and while it's too early to predict if the price increase will affect the company's or the category's growth, I believe that as the leading craft brewer, we should continue to benefit from the increasing support of retailers and wholesalers for craft beer as they recognize the potential of this fast-growing and profitable category. Even in tough economic conditions, beer drinkers are continuing to trade up to better beers. I believe that the quality of the Samuel Adams brand and our distinctive full-flavored beers position us well to meet this growing drinker interest. I'll now pass the call over to Martin, for a more detailed overview of our results.
Martin Roper: Thank you, Jim. (inaudible) reflected double-digit growth in the Samuel Adams brand family and single-digit growth for the Twisted Tea brand family. We're happy with these results, driven by drinker interest in craft beers and our investment in brand support for Samuel Adams. On April 7, we announced a voluntary product recall of certain glass bottles of Samuel Adams products. These bottles were from a single glass plant that supplies bottles to us. The glass plant in question supplied approximately 25% of our glass bottles year to date. In our first-quarter financial results, we've taken various charges for this recall based on the best information currently available. Through the outstanding efforts of our wholesalers, retailers and employees, within two weeks of the announcement, we estimate we've quarantined for destruction approximately 750,000 cases of this product of which approximately 200,000 cases was under our control at our breweries or warehouses as of March 29, 2008. The full cost of this effort include drinker rebates, product credits, fees and incentives to retailers and wholesalers for the recall, lost product, freight and destruction charges for returned product, warehouse and inspection fees, repackaging materials, points of sale materials, and other costs. We also faced the potential for lost sales at retail. To reflect the current known estimated impact of this recall, we reversed approximately 550,000 case equivalents of shipments, which translates to approximately $9.1 million of sales credits and recorded approximately $5.9 million as recall costs. The after-tax impact of these provisions was $8.8 million. These amounts reflect estimates based on available information which could differ from the actual recall costs and do not reflect any potential recoveries of any amounts from third parties. We carry product liability insurance but we do not carry product recall insurance. We expect to close on the purchase of the brewery in Lehigh Valley, Pennsylvania, as scheduled in June 2008, barring any unforeseen circumstances. During April, we successfully test brewed that, and we anticipate having the brewery partially operational for brewing and packaging our brands during this summer. The actual volumes will be dependant on requirements for production capacity under our packaging services agreement with Diageo North America, limitations on how fast we can ramp up brewing and the timing of certain capital investments. Through the end of the first quarter of 2008, we had spent $5.1 million at the Pennsylvania brewery in start up costs necessary to restart the brew house and in capital improvements to upgrade other portions of the facility. In addition to the remaining $45 million of purchase price due upon closing, we currently anticipate the total capital spending this year on the Pennsylvania brewery improvements and start-up will be $45 million to $55 million. Our core shipment of volume for the period was approximately 438,000 barrels, a 12% increase over the same period in 2007 before including the impact of the product recalled which reduced shipments volume by 40,000 barrels, to 398,000 barrels which represents approximately a 2% increase. In the first quarter of 2008, our depletions grew 12% with double-digit growth in Samuel Adams Seasonal and Brewmaster's Collection, and single-digit growth in Twisted Tea, and Samuel Adams Boston Lager. We believe that wholesale inventory levels at March 29, 2008 were consistent with levels of last year, as reflected in shipments exceeding depletions by a similar amount to last year and that such inventory would normally be expected to unwind during the course of the year. However, the recall of approximately 550,000 cases from retail and wholesale inventories during the second quarter will reduce the levels significantly, and second quarter shipments are expected to be higher to bring these inventory levels back to the desired level. Shipments and orders in-hand, net of product recall returns, suggest that core shipments through May of 2008 are estimated to be up approximately 12% as compared to the same period in 2007. Actual shipments may differ, however, and no inferences should be drawn with respect to shipments in future periods. April year-to-date depletions reported to company are estimated to be up approximately 13% over 2007. But this number may not be indicative of actual business trends in April, due to some inconsistency in reporting created by the recall. Looking forward, we see increasing competition from all brewers, while the effects of the recall in the first-quarter pricing increase are not fully visible, we are still comfortable with a full-year depletion growth target prior to recall effects in the low-double digits, consistent with our first quarter performance, and our outlook on full-year earnings results has not changed with the exception of the impact of the recall costs. We believe that we will merge from the recall stronger and that as the leading craft brand, we are well positioned in the better beer category. Now, Bill will provide the financial details.
Bill Urich: Thank you, Jim and Martin. Good afternoon everyone. The Boston Beer company reported a net loss of $0.27 per fully diluted share in the first quarter of 2008, compared to net income of $0.40 per fully diluted share in the first quarter of 2007. This decrease in earnings is a primarily a result of provisions taken for the voluntary product recall. Excluding the impact of the recall, diluted earnings per share were $0.35, a decrease of $0.05 over the same period last year, primary due to increases in advertising, promotion, and selling expenses. For the first quarter of 2008, net revenue increased $3.7 million, or 5% as compared to the first quarter of 2007. Excluding the impact of the recall, net revenue was $85.2 million, an increase of $12.8 million or 18% over the same period last year. This increase is primarily a result of the 12% increase in shipment volume, and an increase in net revenue per barrel. The 5% increase in net revenue per barrel of core products is primarily due to price increases. Excluding the impact of the product recall, our gross margin for the first-quarter 2008 decreased by 0.9 percentage points, to 54.8% from 55.7% in the first quarter last year. The decrease was due primarily to increases in brewing ingredients, packaging material, production and depreciation cost, which were only partially offset by price increases. Advertising, promotion and selling expenses increased by $5 million during the quarter, as compared to the prior year. Primarily due to increases in freight expenses to wholesalers, salary and benefit costs, and increased advertising. General administrative costs increased by $2.2 million during the quarter as compared to the prior year, driven by salary and benefit costs. The tax benefit in the first quarter that resulted from the net loss was $ 2.8 million, compared to a tax provision of $3.9 million in the prior year. During the three months ended March 29, 2008, the company repurchased approximately 429,000 shares of its class A common stock for an aggregate purchase price of $15.3 million. Through May 2, 2008, the company has not repurchased additional shares of its class A common stock. The company currently has $6 million remaining on the 120 million share buyback expenditure limit set by the board of directors. Consistent with our earnings release of March 11, 2008, excluding the impact of recall, the company still expects 2008 earnings per diluted share to be between $1.70 and $2.00. Including the impact of recall, but without taking into account any potential recoveries, the company expects 2008 earnings per diluted share to be between $1.15 and $1.45. The earnings per share range estimate does not include any significant change in currently planned levels of ramp support or any additional expenses above the current estimates for the start-up and acquisition of the Pennsylvania brewery, product recall or the provision for excise tax liability reported in the third quarter of 2007, which remains at $3.9 million, at March 29, 2008. Our ability to achieve this level of earnings growth in 2008 is dependent on our ability to achieve challenging targets for volume, pricing, and cost. As previously reported, the company currently estimates total capital expenditures in 2008 to be between $110 million and $125 million of which $45 million is the balance of the Pennsylvania brewery purchase price. And $45 million to $55 million relates to capital expenditures necessary to restart and upgrade the Pennsylvania brewery. The company expects that its cash and investment balances as of March 29, 2008, of $71.2 million, along with future operating cash flow and the company's unused line of credit of $50 million will be sufficient to fund future cash requirements. We'll now open up the call for questions.
Operator: (Operator instructions) Your first question comes from the line of Andrew Kieley with Deutsche Bank, please proceed.
Andrew Kieley – Deutsche Bank: Hi, good afternoon everyone.
Martin Roper: Hi, Andrew.
Andrew Kieley – Deutsche Bank: Just to start on the recall, I was wondering if you could give us the timing, I guess, what's between the first quarter and the second quarter. Are we going to see revenue adjustments in the second quarter as this goes into second quarter? Or was it all contained in first-quarter numbers in?
Martin Roper: Hey Andrew, it's Martin. Obviously, the recall was announced in the second quarter, and we took the charges in the first quarter because they became – we became aware of the potential for them. Those charges are estimates based on currently known information, we think they're pretty good estimates, but they are subject to change, and as such, if those estimates were to change, any adjustments would need to be posted or occur in the second quarter.
Andrew Kieley – Deutsche Bank: Okay. And, I mean, the May, April shipment outlook you are giving is pretty strong, so does that imply you are not seeing a consumer reaction to the recall? Or can you talk about the consumer reaction?
Martin Roper: I think, generally the consumers have been very positive in the feedback to the company for how we treated the situation. It's probably too early to draw any conclusions as to how that is going to affect depletions and demand, but I think our orders year-to-date through end of May, which we reported, I think – I don't have the piece of paper in front of me, but up 12 which net of the credits for the recall suggest that the business trends and wholesaler belief in our business remains positive.
Andrew Kieley – Deutsche Bank: And can you recover these costs from the supplier, or how does that work? Is there any chance to recovery some of these costs?
Martin Roper: I'd rather not talk about the specifics of what our recovery options we may seek as though are likely to be the subject of claims or litigation, and I don't think it's appropriate to discuss those in this forum.
Andrew Kieley – Deutsche Bank: Okay. Just one more question. I wanted to ask about the on-premise channel, how was that trending against last year? Are you still seeing weakness in the restaurant channel and what sort of mix shift does that imply if we continue to see weak on-premise trends?
Jim Koch: So far, we're not really seeing anything significant in shift from on-premise to off-premise. Our draft business continues to be quite strong and that's the best indicator we've of on-premise trends.
Andrew Kieley – Deutsche Bank: Okay. Thank you.
Bill Urich: Thanks, Andrew.
Operator: Your next question comes from the line of Bryan Spillane with Banc of America Please proceed.
Bryan Spillane – Banc of America Securities: Good afternoon, guys.
Bill Urich: Hi, Bryan.
Bryan Spillane – Banc of America Securities: A few questions. First, on gross margin, excluding all of the impact from the product recall, down 0.9 percentage points, did I have it wrong? I thought that you were guiding for an expectation that gross margins would be done like 3 percentage points for the year. So was there something unusual about the first quarter, or is your gross margin outlook a little bit better than it was previously?
Bill Urich: I think Bryan, we've costs in terms of the startup of Lehigh this summer that have not impacted our gross margins yet. Okay.
Bryan Spillane – Banc of America Securities: So that the cost of goods per case, I guess, or production costs that you are expecting to be up in that 12% to 16% range are still, is still a good estimate for the balance of the year?
Bill Urich: We have not changed our outlook for the year on cost of goods.
Bryan Spillane – Banc of America Securities: Okay, and then in the first quarter itself, what was the impact of raw material costs and transportation costs in your cost per unit? What was the inflate, were your malt and barley costs up in the 7% range or was it a little less than that?
Martin Roper: Bryan, historically, we haven't come out and broken up that figure, but in the cost of goods, which obviously was squeezed by some cost factors, the big driver was barley with the secondary driver being hops, and then sort of lesser drivers being inflation costs at the breweries. And as it relates to freight, we record outbound freights in our SG&A line, and obviously, that was hit pretty significantly by fuel surcharges and the general cost of diesel, and I think you'll see in the numbers we reported SG&A up, driven by freight and also some increased advertising, but the freight is one of the bigger drivers of that.
Bryan Spillane – Banc of America Securities: Yes, that was my next question. The freight is what's driving the SG&A up a little bit higher.
Martin Roper: It's partially, we also had higher selling costs due to headcount and advertising costs, this time last year, we increased our advertising investment on month-by-month basis, and that is just rolling through, and so we still have that impact on the first quarter.
Bryan Spillane – Banc of America Securities: And then just a follow-up on Andrew's question, regarding the recall. All of the – so far, as far as you know, the cost that you will incur as to what you quantify in terms the recall, have all been recorded in the first quarter, right? If there's anything addition, above and beyond this, that would come outside of whatever you're guiding at this point. Is that right?
Martin Roper: I think that's correct. In our Q, I have a description of our accounting policies for the recall and it's basically, at a point in time, we make a best estimate based on available information as to what we think the costs are. That's what we book, and we move forward. Obviously, those are estimates, and are subject to change as new information becomes available, and then they also wouldn't include, let's say there were legal costs either in defending claims against us or in pursuing claims against other parties. We'd not have booked those, because those – when you see our accounting guidelines, sort of guidance, it's our policy not to book those until those are incurred.
Bryan Spillane – Banc of America Securities: Okay, understood. And then finally, just in terms of the depletion and shipment figures you've that you've spoken about in terms of the quarter to date, fair to say that those do – whatever immediate or current response there was from consumers is sort of reflected in those numbers, right? If there was a consumer response to the recall in April, you would think you would have seen that in the numbers, there was no real difference in depletion back half of the month versus first half of the month or anything that you can add to that? Trying to tease out is whether or not we've yet seen the impact, any impact?
Martin Roper: I'm not sure I'm going to be that helpful, but I will try. I think first of all, the orders and the shipments reflect wholesaler confidence in our business, so that's pretty positive, and obviously, those May orders sort of could have been adjusted if the wholesalers wanted to adjust them. I think from a demand point of view – a consumer demand point of view, I'd point you to IRI or Nielsen data, and I don't know what's been published, and obviously we don't publish it because we don't have a right to – but there is evidence of a softness in our brand around the week of the announcement of the recall and the subsequent week, which would suggest some potential out-of-stock problems.
Bryan Spillane – Banc of America Securities: All Right.
Martin Roper: And it appears that that may have bounced back, but it's only one week's worth of data. So I think we would conclude that we probably did lose some sales at retail, but at this point in time, I'm not sure we're comfortable thinking about how much and that the depletions number we represented for April is based on the best information we've available right now, and frankly, we're only three business days into the month and for us, it is pretty early in the collection of the monthly numbers, and we haven't had a chance to scrub it yet. We thought it appropriate to disclose a number, but put a caveat out on that it is likely to have some noise in it due to the recall. Some wholesalers not recording recalled products as negative depletions and then double counting and this is likely to be some noise in it, but we've provided it for reference purposes.
Bryan Spillane – Banc of America Securities: Okay, that was very helpful, Martin. Thank you.
Operator: The next question comes from the line of Mr. James Watson [ph] with HSBC. Please proceed.
James Watson – HSBC: Good afternoon.
Bill Urich: Hi, James.
James Watson – HSBC: Question, just again on the product recalls. I was wondering if you ran into any capacity issues trying to replace all the recalled bottles, since you don't have the new Pennsylvania plant online yet.
Martin Roper: We reacted to the best of our ability to provide replenishment products and we are still working our way through that. The biggest issue for us in dealing with the replenishment product is that our brewing process takes four to five weeks. We're obviously fermenting, (inaudible) and aging of beers over much longer time periods than most brewers. And therefore, the biggest impact on our ability to get replenishment product out was that sort of lead time that we had on our beers, which we are unwilling to short-change in any shape or form, and given that lead time, we were able – I think we were able to successfully arrange packaging materials, and capacity for packaging that beer out in that time frame. So, we're certainly very grateful to our packaging material suppliers, including gas supplier for supporting this effort, and also to the breweries that we work with who have provided us with the capacity to try and catch up, but in doing so, we've to wait for the yeast to perform its miracles and that's not an overnight process. So, we're obviously happy with what we've been able to have done, we would have liked to have gone faster but the limiting factor was probably the yeast. There were obviously minor issues on the way, but we feel we've done a pretty good job, and by the end of this month, or maybe the end of the quarter, we hope to have inventory levels return to more normal levels and not have any issues.
James Watson – HSBC: Okay, great. So does that means by inventory, is availability by the end of the quarter? Is that your target, that that would be back to normal –
Martin Roper: I think we are hoping to beat that significantly.
Jim Koch: And the real issue, James, is availability at retail, the fact that the wholesaler doesn't have their full inventory isn't that important, and one of the things that helped us through this was being able to draw down wholesaler inventories and mitigating retailer out of stock.
James Watson – HSBC: Okay. That's great. One last question just on calls for the year. I was wondering how much variance you have left in your 2008 costs? You kept the gross margin guidance in line. I was just wondering if you still have a lot of exposure left or you basically locked out most of your costs for the year.
Martin Roper: I think so most of the costs are locked up for the year, we've a little bit of exposure on barley as it relates to this year's crop, which obviously is being planted right now, and we don't really know, and then what we've exposure on our ability to successfully implement and execute Lehigh operationally, and that is sort of on the cost side. On the freight side, we are exposed – again, the freight hits our SG&A, we've – or most of the freight hits our SG&A, we have exposure there obviously as well.
James Watson – HSBC: Okay, so you are confident – gross margin guidance reflects possibly higher gas costs?
Martin Roper: It – the higher gas costs, by that, you mean freight, is actually hitting SG&A?
James Watson – HSBC: Okay.
Martin Roper: And I think we think we're going to be in a position to still meet our earnings guidance, even given those cost pressures that we're seeing, and we haven't adjusted our earnings guidance for that, on the cost of goods side – the bigger influences for us will be barley crop this year and our ability to execute Lehigh start ups successfully.
James Watson – HSBC: Perfect. Thank you very much.
Operator: (Operator instructions) You have a follow- up question from the line of Bryan Spillane with Banc of America. Please proceed.
Bryan Spillane – Banc of America Securities: Thanks for taking the question. Jim, just, as we've gone through this earnings season, we've heard companies talk bit about this, just the consumer environment in North America, you've got stagflation, I guess, you've seen pockets of real weakness in he consumer in certain parts of the country. I guess in some convenience channels, convenience type items on-premise, can you just talk a little bit about how better beer has performed in other cycles and maybe more specifically, in an environment like this where you've got consumers weakening, inflation going up at the same time, just kind of give some perspective on where – how you think better beer performs in this type of environment.
Jim Koch: Sure. In the past, better beer has not been as affected by the economic environment on the downside as the rest of the beer category. It is a very affordable indulgence for people and I think so far, we've not seen anymore softness than what we were anticipating at the end of last year, so we've been reasonably happy so far. Though as Martin mentioned, the April numbers are a little bit murky, but we haven't seen any dramatic effects of trade. The unknown going forward for the rest of the year is – I haven't yet seen over the last 24 years a time when there was simultaneously economic softness and stagflation as you mentioned and we took a significant price increase. As Bill mentioned, we are looking at close to 5%. That's the biggest price increase we've ever had and we are taking it at a time of economic softness, so I'm kind of holding my breath but so far, we haven't seen anything that we didn't anticipate three months ago.
Bryan Spillane – Banc of America Securities: Great. Thank you.
Operator: Your next question comes from the line of Andrew Kieley with Deutsche Bank.
Andrew Kieley – Deutsche Bank: Jim, I just had a follow-up. Given with what happened with Pyramid and Magic Hat, do you think longer term – I mean, obviously, you have enough projects on your hands for the next few years with the brewery, do you think longer term there's an opportunity for some of the space to roll up some of the smaller brewers, expand some of these regional products and take costs out by rolling up some of the smaller brewers?
Jim Koch: I'm sure the opportunity is there, just speaking generally. I don't know if it's the right opportunity for us because we do have a fair amount of confidence in the Samuel Adams brand, and it's been around 24 years, and we've re-ignited growth which is always a really difficult thing to do in the beer category, we seem to have gone through that generational cycle. So I'm – the opportunity is probably out there whether it's one for us or not, I'm not sure.
Andrew Kieley – Deutsche Bank: Thanks.
Operator: Your next question comes from the line of John San Marco with Wachovia. Please proceed.
John Feeney – Wachovia Securities: It's John Feeney, actually. Good afternoon.
Bill Urich: Hey John.
John Feeney – Wachovia Securities: Just one question, sort of big picture. When you look at the great growth you've had, it seems like – I'm trying to get a sense of how dependent it is on new products, particularly in the seasonal area, and as you bring this new brewery online, should we expect an acceleration of seasonal innovation and do you think there's enough places to go as far as new beers to, I guess support that acceleration?
Martin Roper: Hey, John, it's Martin. I think historically, the growth has been on a broad range of fronts, and certainly, we are very pleased that our lead star Lager has shown several years of consistent growth and contributed significantly to the total case growth on the top line. Obviously, the seasonal category is hot right now, but for us, our seasonal program has been in place for, well, certainly since I've been with the company, which is 15 years, or maybe longer than that, and the current lineup of seasonal beers has in place for I think two or three years and really hasn't changed that much in the last five to seven. So, I think the answer to your question as to whether the growth is many coming from innovation and new products is probably not really. While we continue to enjoy those growth trends and continue to focus primarily on Lager, Light and Seasonal, I'm not sure that our strategy would change with the acquisition of the brewery. The brewery is going to give us more capacity but frankly, we are going to be in the fortunate position where we can fill most of that and we're going to be focusing on making sure we run it efficiently.
John Feeney – Wachovia Securities: Thanks, that helps a lot. I wanted to follow up on one thing. Jim, you said your draft business is running quite strong. I guess, is it fair to say that your draft is running well ahead of your company depletion average? If so, or I'm guessing, just relatively maybe over the past few months, has that narrowed or widened that gap? In terms of how strong your draft business is versus how strong your overall business is?
Jim Koch: We did typically wouldn't break that out and again, it's made murky by the April numbers. I think what we can say is there is not a clear or dramatic divergence in trends, which gives us some confidence about our on-premise business. If it was sagging, we would see it in the draft trends, and we haven't.
John Feeney – Wachovia Securities: Thank you very much.
Operator: (Operator instructions) I'm showing you have no further questions at this time.
Bill Urich: Thank you all. And we'll speak to you next earnings call, second quarter.
Jim Koch: Thank you.
Operator: Thank you for your participation on today's conference. This concludes the presentation. You may disconnect. Good day.